Operator: Welcome to the Fiscal 2015 First Quarter Earnings Call for Applied Industrial Technologies. My name is Albert, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded, and I will now turn the call over to Julie Kho. Julie, you may begin.
Julie Kho: Thanks, Albert, and good morning, everyone. Our earnings release was issued this morning before the market opened. If you haven't received it, you could retrieve it from our website at applied.com. A replay of today's broadcast will be available for the next 2 weeks as noted in the press release. Before we begin, I would like to remind everyone that we'll discuss Applied's business outlook during this conference call and make statements that are considered forward-looking. All forward-looking statements, including those made during the question-and-answer portion, speak only as of the date hereof and are based on current expectations that are subject to certain risks, including trends in the industrial sector of the economy, the success of our various business strategies and other risk factors identified in Applied's most recent periodic report and other filings made with the SEC, which are available at the Investor Relations section of our website at applied.com. Accordingly, actual results may differ materially from those expressed in the forward-looking statements. The company undertakes no obligation to update publicly or revise any forward-looking statement, whether due to new information or events or otherwise. In compliance with SEC Regulation FD, this teleconference is being made available to the media and the general public as well as to analysts and investors. Because the teleconference and its webcast are open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Our speakers today include Neil Schrimsher, Applied's President and Chief Executive Officer; and Mark Eisele, our Chief Financial Officer. At this time, I'll turn the call over to Neil.
Neil A. Schrimsher: Thank you, Julie, and good morning, everyone. We appreciate you joining us today. To recap our news release from this morning, our sales for the first quarter of fiscal year 2015 grew 16% to $702.3 million from $605.3 million in the same quarter last year. Net income for the quarter increased $29.1 million from $26.8 million and earnings per share rose 10.5% to $0.70 per share compared with $0.63 per share a year ago. We're pleased to be off to a solid start to the fiscal year with double-digit sales and earnings per share growth for the quarter. From an overall business perspective, we've been busy integrating acquisitions and translating our strategic plans into action, including the addition of maintenance supplies and solutions inventory into our Southern California distribution center, relocating Texas Oilpatch Services, or TOPS, into a new facility and enhancing our collaboration with our leading suppliers to drive documented value add with our customers and accelerated growth with our Service Center associates. Operationally, our recent activities have centered on finalizing our financial systems ERP deployment and working capital improvements. We've made progress fiscal year-to-date and we are confident in achieving our annual plans. In addition, our acquisition pipeline remains strong. We completed several acquisitions in the past year and we are intent on continuing this level of activity into fiscal 2015, delivering on the business synergies and generating increased shareholder value. In summary, momentum is building across all areas of our business, with many opportunities to enhance our growth and profitability, to expanding our value add, extending our market reach and enhancing our capabilities to serve our customers. We see an industrial market that offers continued opportunities for growth and we are maintaining our full fiscal 2015 guidance for earnings per share between $2.95 and $3.20 per share on a sales increase of 13% to 16%. I'll now turn the call over to Mark for more details on our financial results.
Mark O. Eisele: Thanks, Neil. Good morning, everyone. I'll provide some additional insights regarding our first quarter fiscal 2015 financial performance. Our sales-per-day rate during the quarter was $11 million, which is 16% above the prior year quarter and 6.7% above our rate in the June quarter. We had 64 selling days in both the September 2014 and 2013 quarters. Acquisitions had a positive impact on sales of 13.3% during the quarter and foreign currency translation decreased sales by 0.5%. Therefore, overall core same-store operations experienced a 3.2% increase in sales, compared to the prior year. In addition, we believe the impact of vendor price increases was minimal during the quarter. Our product mix during the quarter was 27.2% Fluid Power products and 72.8% industrial products. First quarter sales in our Service Center-Based Distribution segment increased $83 million or 16.9%. Acquisitions added $80.5 million, foreign currency reduced sales 0.5% and core same-store operations experienced a 0.9% increase. The sales in our Fluid Power businesses segment continued to have another great sales quarter, growing $14 million or 12.4%, offset by negative foreign currency impact of 0.5%. From a geographic perspective, sales in the first quarter from our overall U.S. operations were up 12.1% or $60.5 million compared to the prior year quarter and experienced a positive impact of $46.8 million or 9.3% from acquisitions. Our Canadian operations benefited from $29.8 million of sales from acquisitions, experienced a sales increase in local currency of 3.1% and had negative foreign currency impact of 4.1% resulting in a combined sales increase of $29.4 million or 42.2%. Consolidated sales from our other country operations, which include Mexico, Australia and New Zealand, had an overall increase of $7.1 million or 20.5%, which included acquisition benefits of $3.9 million, a sales increase in local currency of 10.4% and negligible currency translation impact in the quarter. Our gross profit percentage for the quarter was 27.8%, 30 basis points below the prior year's first quarter. This decrease can be attributed to the timing of certain volume-based supplier support programs and increased scrap and obsolescence expense in the quarter. Acquisitions, operating at gross margins above our traditional core business, increased our overall gross profit percentage by 40 basis points. Going forward, we expect overall gross profit to exceed 28% for the remainder of fiscal 2015. Our selling, distribution and administrative expenses as a percentage of sales was 21.2% for the quarter, 30 basis points below the prior year first quarter. On an absolute basis, SD&A increased $18.5 million in the quarter or 14.2%. Acquisitions added $19.1 million to our SD&A in the quarter. Excluding these expenses from acquisitions, our core operational selling distribution and administrative expenses was down $600,000 compared to the prior year. Our effective tax rate for the first quarter was 34.2%. We continue to believe our tax rate for fiscal 2015 will be between 34% to 34.5% for the entire year. Our consolidated balance sheet remains strong, with shareholders equity of $790.7 million and a conservative debt to total capitalization ratio of 28.9%. Our after-tax return on assets for the first quarter was 8% versus 10.2% in the prior year comparable quarter due to the impact on our asset base of our recent acquisitions. We expect our ROA to improve as we move through fiscal 2015 as net income continues to improve and average assets decline slightly due to working capital improvements and continued amortization of intangibles. Inventory at September 30 is $31 million above our June levels with $29.5 million related to the impact of our acquisitions. Cash used in operating activities was $18.1 million for the quarter compared to cash generated from operations of $17 million in the prior year quarter. We expect improved cash flows from operations over the remainder of fiscal year. We do experience some seasonality in our cash flows with the first half of our fiscal year being lighter than the second half of our fiscal year. Our expectation is that $59 million of cash used in support of working capital during the quarter will decline beginning in the December quarter through fiscal year-end by at least $40 million due to improved receivables collections, improved inventory turn and extensions of payables. Our traditional expectation is for cash provided from operations to mirror or be better than our annual net income amounts. We expect this to hold true for fiscal 2015 as well. We purchased 214,000 shares of stock for $10.4 million in the open market during the September quarter. The board authorized another 1.5 million share buyback as the previous authorization had been almost fully used as of the end of September. We expect to remain active in executing stock buybacks throughout our fiscal year. Now I'll turn the call back to Neil for some final comments.
Neil A. Schrimsher: Thanks, Mark. In summary this morning and ahead of the Q&A, I'd like to leave you with 3 thoughts: Applied associates and our leadership teams are focused on and committed to: one, accelerating our core business performance with sales growth, margin enhancement and working capital improvements; two, integrating the recent acquisitions and delivering on the synergy plans; and three, staying active in acquisitions, building on our strong foundation and enhancing our shareholder value. At this time, we'll open up the lines for questions.
Operator: [Operator Instructions] Our first question is from the line of Matt Duncan with Stephens.
Matt Duncan - Stephens Inc., Research Division: First question I've got is about the sales trend you guys are seeing. Obviously, you had a nice return to organic growth in the quarter. Can you talk about what you saw in a month-to-month basis and including what you're seeing through October so far?
Neil A. Schrimsher: Yes. Matt, we saw improvements as we progressed through the quarter maybe it moderated just a little slightly at the end of September. October month-to-date is good. Total sales exceeding the upper end of our annual guidance and kind of the core at the mid- to upper single-digit range month-to-date.
Matt Duncan - Stephens Inc., Research Division: Okay, good. What do you think is driving that, Neil? Are there any end markets in particular that are picking up? Or is this just your efforts sort of catching up and then helping to drive better growth?
Neil A. Schrimsher: Well, I think the general industrial economy is good. I mean, if you look at the major indices and the predictions, I think the industrial economy, as we move into calendar '15, kind of continued -- or will pull the general economy. That's good for us. But I also think we're performing better in some key markets where we've increased our presence and just in some of the core segments as well. So I think it's a combination, but we think the economy is going to help going forward and we're intent on helping ourselves also.
Matt Duncan - Stephens Inc., Research Division: Sure. Okay, last thing for me, then I'll hop back in the queue, just on gross margin. Mark, what gives you guys confidence that you can get the gross margin up from here? I mean, we've seen across your peer group that there's been a lot of gross margin pressures and I think it's been pretty consistent that it's largely from a lack of price inflation and I think that still is obviously the case today. So what's going to drive your gross margins up from where they were here in the first quarter?
Mark O. Eisele: I think that how we look at the impacts and the negativity that we saw in this quarter or the slight decline that we experienced, we can sort of see that running away in our second quarter. As we've talked on the call, we had some scrap expense in the quarter. And some of that relates to our updated policies and procedures and practices now that we're managing our inventory on one system and so that creates some of that expense relating to this transition to the system. So our expectation is for the scrap expense that flows through the income statement for the year to moderate as we go forward. So that's part of the reason we expect to see some increase.
Matt Duncan - Stephens Inc., Research Division: How much did scrape hurt?
Mark O. Eisele: Well, I mean, it's -- it was -- I would say the scrap plus the impact of the supplier volume incentives was the entire decline and it was the reason for the declines. We did talk in the call about some of the increase that we had from our acquisitions that offset some things. But besides that, it was those 2 items were the things that related to it.
Neil A. Schrimsher: So Matt, I'll tell you now, as we look at volume rebates, I mean, we're in the regular reviews on those monthly and quarterly and from here, I understand that the timing of those into the quarter. So as we think going forward, scrap doesn't repeat at that level. Volume rebate timing works its way out. Acquisitions help. We help ourselves with product expansion. And as the service centers influence their customer mix and reduce some of that pricing variation and kind of that localized groups, that helps as well.
Matt Duncan - Stephens Inc., Research Division: And Neil, is there also an opportunity to help yourselves through SAP? I mean, does that perhaps give you a tool to find ways to drive better gross margins as the year goes on? And do you guys get a little smarter about how to use that new tool?
Neil A. Schrimsher: Yes. I think it's the realtime visibility of the information and then just looking at that pricing variation that can occur across customer groups or locations to reduce or tighten or eliminate that variation. And the system obviously helps us do that.
Operator: Our next question is from the line of John Baliotti with Janney Capital Markets.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: In your remark, any -- from an end market standpoint, there seemed to be some news from other companies, kind of some headwinds they're facing in certain areas that you're exposed to. But as you pointed out, this is a nice start to the year and revenues were obviously better than people might have expected, given those -- that news. So any color on maybe just some end markets or products within those end markets that -- just kind of how they perform, sort of plus or minus?
Neil A. Schrimsher: Yes. So I don't have all of it, but I think we track 30 segments. We're probably up in 14, maybe 15 of those. We would've seen positive in lumber wood products, aggregate, kind of the paper side of the business, some of the base metals. Oil and gas contributed in that as well. And I think mining improves off the our lower base in doing it. So -- and then I think the general economy keeps working to get better. Customers, those working on a kind of a calendar cycle are either concluding their year and working on some projects, but those that I relate -- or talk with are making their plans on their own productivity projects or capital projects because they perform pretty well and they have those monies and investing in their own businesses are a good thing. So I think most of the dialogue with the end customers would be they're looking positive as they go into 2015.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Yes, it seems -- because I was -- we track some of the macro indicators, and durables have been really pretty good for quite a while. And it's been sort of frustrating that some of the distributors haven't seen that pull-through in terms of usage. So it's certainly nice to see this for you that, as you pointed out, economy is generally doing fairly well and it seems like you're getting a better pull-through right now or better, I guess, elasticity to that. And I just was wondering maybe your customers are feeling a little bit better. It could be market share gains, a little bit of everything, but it seems like your growth is now much more aligned with what we're seeing in terms of the health of durables and capacity utilization in the broader end markets.
Neil A. Schrimsher: Yes, I would agree. And so, hey, last year, we rolled out new ERP and a lot of phased deployments. Obviously, we're not doing that this year. So our focus is on running and optimizing the system that we have and focused on our end customers and fulfilling more of their needs. I still believe that, fundamentally, our end customers are looking to do business with fewer better suppliers that can fulfill more of their needs and that's what we're working on.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Sure. I'm certainly hoping for that, too. And Mark, just a quick -- you made a couple of comments about the working capital on the balance sheet. And obviously, you did a number of acquisitions of relative -- pretty good size relative to AIT, so to understandable that the balance sheet would be impacted by that. So you feel it's pretty much a work through this -- in terms of turns and so on, it's not a different level that the companies can operate going forward? It's just a matter of digesting the balance sheets that you acquired.
Mark O. Eisele: I think that's some of that. And obviously, we want to continue to work on our accounts receivable for all of our units, not just the acquisitions to improve our DSOs. And we expect to have those numbers come down throughout fiscal 2015 because they are higher now than what they have been historically. And so those are tasks for us to do. Same thing with our inventory turns. It's not just with the acquisitions, but it's looking at all the operations in our core business and we see where we can make steps forward during the year. So I think our expectation is we should continue to see those as we march throughout fiscal 2015, and that should help with changing how the impact is on the balance sheet and making the cash from operations positive. And we think it'll be positive just like our theory that we have talked about in the past. Hey, when we make 1 dollar on the income statement, on net income, that reports to $1-plus on our cash provided from operations. And so that's our expectation again this year.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: So the investments you made, really, it's -- your goal is to set the bar higher for the whole company, not just the acquisitions, but the whole -- the aggregate company.
Mark O. Eisele: I would agree. We have -- yes.
Operator: [Operator Instructions] Our next question is from the line of Jason Rodgers with Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: I'm wondering if you could talk about potential acquisitions, opportunities that you're seeing, if you're seeing any, as far as larger size, like RIP and Knox, as well as by geography, if you're seeing more overseas versus domestic.
Neil A. Schrimsher: I'd characterize our M&A pipeline as robust. We're busy. We're active every month, the team, me personally, in doing it. I think looking back, we have raised or increased our activity. We've raised our sights on targets and we want to be that busy, really, hey, every year going forward. And we're intent on continuing that. We expect to make progress on that this coming quarter.
Jason A. Rodgers - Great Lakes Review: Then looking at the ERP system, would you just go over if that system is meeting your expectations as far as optimizing it and if there's a way to quantify any of the benefits that you are seeing or expected to see from it?
Neil A. Schrimsher: I would say, hey, it's meeting. We know any ERP transition, it's work. And so we worked it from building. We work it through deployment. We're working it now to running and optimizing. It's going to serve us well. It will be a foundation for a couple of decades as we go through, parsing out, we've said before, kind of parse out benefits of what it does versus what we did before or what our own associates and processes do. That's hard. So I mean, we'll stick to talking about the business in total and not attributing a piece or a benefit just to the system.
Jason A. Rodgers - Great Lakes Review: And just finally, you mentioned some positive industries out of the 30 that you're under. Which ones didn't perform as well?
Neil A. Schrimsher: Yes, I don't have a list in front. So I'd say really no glaring ones that would pop out.
Operator: Our next question is from the line of Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng - CJS Securities, Inc.: Nice job on the top line growth. You've increased your energy exposure pretty significantly the last quarter -- last year with the acquisitions. Is there a point where you would worry about pressure from lower oil prices? Or would that be mostly offset by strength in the other end markets as you get the benefit of lower energy cost?
Neil A. Schrimsher: Yes. So I like the progress that we've made in building our energy and upstream oil and gas capabilities with TOPS maybe 10 months ago in the kind of the drilling side. We have presence and participation in completion and then serving ongoing production. My view is we're just entering into kind of an equal weight of end market participation in those. It's still less than 10% of our end markets from a coverage or participation standpoint. And I think the overall fundamentals around energy and oil and gas remain very good. U.S. drive towards energy independence participation in some of these formations like Eagle Ford or the Permian Basin. And even the outlook on rig counts for the coming year, I think all of that is solid. So we're glad to be participating in that segment. With that said, we're just not going to grow in oil and gas. We're active in working our Fluid Power business, active in growing our bearing and power transmission business and other industrial segments as well.
Jonathan Tanwanteng - CJS Securities, Inc.: Okay. And then just regarding the use of cash in the quarter and the share repurchase program, do you expect to fund that with positive cash flow just down the line? Or would you potentially look for external financing there?
Mark O. Eisele: Well, obviously, John, we're in a net borrowing position as a total corporation right now. So depending upon how you look at it, you could say we're funding that through borrowing as of -- as we speak today. I think our view is that we believe giving money back to the shareholders and adding value that way is important. So our view on dividends and potential dividend increases is still the same. And our view on share buybacks is very similar, too. We want to make sure that we keep the share count flattish when it relates to equity award programs, but also then tip it to a slightly downward tilt for the overall share count looking forward. So we're going to continue to be opportunistic in the market with our buy. And we purchased a little over $10 million in the quarter that just ended. And I would expect we'd be around that in the quarter we're in right now.
Operator: [Operator Instructions] And we have another question from the line of Joseph Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, Inc.: Just a question -- a couple of questions. So one, the SD&A as a percent of sales, I was wondering if you could just comment on that, just given the acquisitions. I know there's a lot of amortization that came with those. But going back into fiscal '14, that SD&A as a percent of sales did tick up in fiscal '14. How are you looking at that and sort of, I guess, if we can look at the 21.2% that you saw this quarter, how are you looking at that going forward?
Neil A. Schrimsher: Yes. Joe, obviously, we look at SG&A from a multi-faceted approach. And one of the approaches that we do try to look at is the run rate approach as to what the expenses that we had in this quarter running forward into the next couple of quarters as well as looking at it as a percentage of sales. When you have the percentage of sales, it does take into -- it changes things because of acquisitions as you layer them on. The acquisitions that we've completed, they do have a higher gross profit percent profile, but they also do have a higher SD&A percent profile as well, which is layering in there, too. And so we're trying to manage all of these pieces going forward. I'd say, expense control is one thing that we will not keep -- we will not take our eye off of. We will keep our eye right on that ball to make sure that we are as efficient and effective as possible with SD&A. And I think that if you look at our overall SD&A levels in this current quarter, all of our acquisitions were in for the full 3 months during this quarter. So that's -- I'd say, that's a decent proxy for looking at that on a go-forward run rate perspective, too.
Joseph Mondillo - Sidoti & Company, Inc.: Okay, great. And then in terms of the acquisitions, I was wondering if -- obviously, we can back in how much revenue was contributed to the quarter. But I was wondering if you could tell us how accretive the acquisitions were in the quarter in terms of EPS.
Mark O. Eisele: Yes. We previously stated that -- in our earlier press releases that we thought the acquisitions for the whole year would be in the $0.17 to $0.22 of EPS accretion. And we've -- they were solidly in that range, meeting our expectations for those results.
Joseph Mondillo - Sidoti & Company, Inc.: Okay. And in terms of earnings, how does -- how do those acquisitions change, if at all, the seasonality on a quarter-to-quarter basis of your earnings?
Mark O. Eisele: Well, I'm not sure how to respond to that question, Joe.
Joseph Mondillo - Sidoti & Company, Inc.: In other words, is the -- the strong seasonal quarters within those companies that you bought, are they June and September or are they more smoothed out throughout the year? Just wondering how they affect the seasonality or how does that sort of affect the seasonality of your earnings on a quarter-to-quarter basis?
Mark O. Eisele: Okay. I think they do have a little bit of an impact and I would say that impact really relates to Reliance probably a little bit more. And we talked about this, I think, on one of our last calls because Reliance operates up in Canada a lot more and so the spring thaw has an impact. So I would say the seasonality that Reliance sees is that their June quarter, that April-May time period is generally their slowest in sales. So that's different than our core traditional operations. So I don't know on an overall basis if it really changes things, but that's the one thing that I would say these acquisitions would have an impact on, it was -- is that. And then as we talked about earlier, with the energy exposure, with the oil and gas exposure, we expect their operations and their sales to continue in a solid way going forward.
Neil A. Schrimsher: I would say with the other ones, no real seasonality.
Mark O. Eisele: No big thing, yes.
Joseph Mondillo - Sidoti & Company, Inc.: Okay. And then just going back, just lastly for me, the accretion of the $0.17 to $0.22. Obviously, the top line came in much better than expected. And I know, obviously, you turned the organic growth in terms of the core business, but it seems like some better-than-expected growth in terms of the historical financials of those 2 businesses that you acquired are probably maybe better than expected. Is -- given the strength that you're seeing within those businesses, does that -- is there some upside to that sort of accretion estimate that you have provided?
Mark O. Eisele: I would say obviously, the answer is yes. If they perform well from a top line perspective, that'll flow down to the bottom line, too.
Neil A. Schrimsher: And I'd say right now, we think the integration in for the early months on the recent ones are very good. We're focused on the synergy plans and -- as they relate to -- we're excited about the opportunities around the customers, some expanding products and services to those common customers, getting some new ones. And we'll look at having those capabilities in some new geographies, too, which creates a nice synergy opportunity as we think broadly across the Applied footprint.
Operator: At this time, I'm showing we have no further questions. I will now turn the call over to Mr. Schrimsher for any closing remarks.
Neil A. Schrimsher: All right. I want to thank everyone for joining us today and we look forward to talking with you throughout the quarter. Thanks a lot.